Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:00 Good evening, and thank you for attending the Vacasa Fourth Quarter 2021 Earnings Call. My name is Selena, and I will be your moderator. All lines will be muted during the presentation portion of the call, with an opportunity for questions-and-answers at the end. [Operator Instructions] 00:31 I would now like to pass the conference over to our host, Ryan Domyancic with Vacasa. Please go ahead.
Ryan Domyancic: 00:40 Good afternoon, everyone, and thanks for joining us today for Vacasa's Fourth Quarter 2021 Earnings Call. I'm pleased to be joined by CEO, Matt Roberts; and CFO, Jamie Cohen. 00:52 Before we begin, let me cover a few administrative details. This call contains information that speaks only as of the date of today's live broadcast and redistribution of this broadcast is prohibited. We have posted a shareholder letter and press release on the IR section of our website at investors.vacasa.com that will be referenced by our speakers. 01:14 Comments made during this conference call and in our shareholder letter and press release may contain statements that are commonly referred to as forward-looking statements. Such statements about future expectations, beliefs, plans, projections, strategy, targets, estimates, objectives, events, conditions, and financial performance. We caution you that various factors could cause actual results to differ from those we anticipated. For additional information concerning these risks and uncertainties, please read the forward-looking statements section in the press release and our shareholder letter we issued earlier today and the forward-looking statements and Risk Factors section outlined in our filings with the SEC. 01:59 During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial results, including a reconciliation of non-GAAP results to the most directly comparable financial measures can be found in our press release and shareholder letter. These non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. 02:21 And now, I'd like to hand the call over to Matt Roberts. Matt?
Matt Roberts: 02:25 Good afternoon, everyone, and thank you for joining Vacasa's first earnings call as a publicly traded company. In early December, we started trading on the NASDAQ and added over $340 million of gross cash proceeds to our balance sheet, leaving us well capitalized with a tremendous growth opportunity in front of us. 02:47 I recognize that many on the call today are new to Vacasa story. So I want to spend some time providing background on our company. Next, I'll touch on the substantial progress we made in 2021, before handing it over to Jamie Cohen, our CFO, to cover our strong financial results and 2022 guidance. 03:07 Our business is performing extremely well. We are delivering solid financial performance, executing on our technology roadmap, and expanding our growth engine, all of which extends our leadership position. While this is our first earnings call as a publicly traded company, we have been sharing projections and reporting on our progress throughout most of 2021, and it's clear our business has incredible momentum. 03:35 We consistently beat and raised versus our initial projections. First, we beat Q2 and raised Q3, then we beat the high end of Q3 and raised Q4, then we beat the high end of Q4 and now, we're raising our 2022 outlook. We also expect the business to reach adjusted EBITDA profitability for the full-year 2023. 03:58 Okay, so a quick overview of our company. Vacasa is reinventing the vacation rental industry by leveraging proprietary purpose-built technology to create a better experience for everyone involved; homeowners, guests, and channel partners. Alternative accommodations is one of the fastest growing categories in travel with tremendous consumer demand. Our primary focus is on the supply side of the vacation rental ecosystem, which is highly constrained and ripe for innovation. 04:32 As the only scaled national vacation rental management platform, we play a critical role in fueling the alternative accommodations growth engine. We operate in a massive market with fantastic secular trends. There are more than 5 million vacation homes in the United States alone and 20 million globally. And from a guest perspective, the preference shift towards alternative accommodations started over a decade ago, driven by both technology enablement and expanding the appeal of the category across multiple use cases. 05:09 The vacation rental management industry is a local marketplace, perfectly set up for disruption. Just think about the status quo of renting out a vacation home. Some people do it themselves, which is a ton of work to properly set up your home, effectively market and price availability and service all the guests' needs, including answering the phone call at 2 o'clock in the morning, because the heater’s out at the ski lodge? Or you can enlist a local vacation rental manager, but their fragmented nature and relatively unsophisticated technology leads to sub-optimal homeowner income. 05:48 This is where Vacasa comes in, with technology to modernize and truly rethink the industry. It sounds ambitious, but it's not new, this is a proven playbook. Innovative, tech-enabled platforms have helped create, disrupt, and accelerate industries. There is pattern recognition between what we're doing and what others have done in other categories. Just think about how real estate, mobility, and on-demand delivery have been redefined over the past decade. My experience at OpenTable taught me how meaningful and transformative these tech-enabled platforms can be to local marketplace businesses. 06:28 Our value proposition for homeowners is simple, yet powerful. Just hand us the keys, tell us which nights you want your home for personal use, and start earning monthly income. That's it. We handle all the hard work, like setting up the home, establishing optimal nightly rates, communicating with guests before, during, and after reservation, and ensuring homes are properly cleaned and maintained. 06:55 Our proprietary technology platform serves as the foundation of our business and has been crucial to our success. All key aspects of our platform were purpose-built, addressing specific needs and pain points of the vacation rental management process, resulting in a truly differentiated and elevated experience to homeowners, guests, and channel partners. In the past year alone, we invested nearly $50 million on technology, which we believe is greater than the spend as a combined total population of competitive local managers. 07:32 A core component of our technology platform is our dynamic pricing engine, which is designed to generate greater income for homeowners. We accomplished this by using a combination of technology products, artificial intelligence, human expertise, and a significant volume of data to uniquely derive rates for each home on our platform. In fact, homeowners who were previously using local professional managers gained an average of 20% increase in their rental income in the first year and then an incremental 10% increase in the second year after switching to Vacasa. 08:10 In addition to our dynamic pricing capabilities, we are able to capture demand wherever it exists by listing all the homes under our management on Vacasa's own website and consumer app and distributing our listings to more than 100 channel partners, including Airbnb, Booking.com, and Vrbo. While our channel partners’ account for the majority of bookings, our direct channel is our single largest source, accounting for 30% of gross booking value in 2021. 08:44 For guests, Vacasa provides a consistent and reliable experience that has many similarities to traditional accommodations. Guests can use the Vacasa app to check into the property and unlock the front door. We also offer 24/7 support by phone, online, or through the Vacasa guest app. The top-tier hospitality we deliver ensures guests have a memorable experience, which leads to better reviews, which results in higher income for homeowners. 09:16 Now, turning to the tremendous progress we made in 2021, including adding homes to our platform, introducing new products, and maximizing homeowner income. Over the course of the year, we grew the number of homes on our platform by over 60% through our growth engine playbook, as well as through the strategic acquisition of TurnKey Vacation Rentals. We add homes to our platform with 2 complementary playbooks, an individual and portfolio approach. 09:45 The individual approach is a direct sales model, where we create leads, then predominantly local sales representatives sign up individual homeowners. This approach is used in existing markets and it accounts for the majority of our new additions. Under the portfolio approach, we buy local vacation rental managers, bringing on dozens of homes at once. Through this approach, we are able to efficiently enter new markets and build density at a faster rate, allowing us to accelerate our margin expansion in those markets. 10:21 We made great progress throughout the year, ramping sales capacity under our individual approach, as we successfully added hundreds of new sales representatives. In the fourth quarter 2021, our sales force added nearly 150% more homes than it did in the first quarter of the year. We also expect continued overall sales force productivity improvements going forward, as our recently hired sales executives follow a predictable, tenure-based productivity ramp. 10:54 Our technology teams were hard at work releasing new products to improve the vacation experience for guests and homeowners, and developing tools for our local market staff to drive efficiencies. We are particularly proud of the new Homeowner app, which provides our owners with insight into the management, care, and performance of their vacation rental home, and we are seeing more than 60% of homeowners with the app log in weekly. 11:22 We launched the rollout of our smart home technology package, consisting of keyless locks, WiFi routers, and noise monitoring technology, which is expected to be in place across our entire portfolio of homes by the end of 2022 at no additional cost to homeowners. We created a new clean inspection tool, designed to improve guest and homeowner satisfaction, by ensuring a standardized, efficient cleaning process across the tens of thousands of homes on our platform. And our yield management system also took a big step forward as our data scientists introduced itinerary-based pricing, which uniquely prices each itinerary based on the start and end date and home's availability. 12:12 Now, I'll turn the call over to Jamie to review our fourth quarter financial results and guidance in detail. Jamie?
Jamie Cohen: 12:21 Thanks, Matt. We closed out 2021 on a strong note, delivering revenue and adjusted EBITDA well above our fourth quarter guidance ranges. Before getting into the details on the quarter, I want to provide some perspective on our outstanding financial performance in 2021. 12:38 In July, we outlined ambitious financial targets for 2021. We finished the year with revenue of $889 million, $130 million or over 15% ahead of our initial target and up 81% year-over-year. Given our strong third quarter revenue outperformance and fourth quarter pacing, we made the decision in November to make incremental investments in the business across all of our operating expense lines, with the largest being in sales and marketing to position us well for future growth. Even with these sizable investments, adjusted EBITDA was negative $29 million for full-year 2021, $20 million ahead of our initial target. 13:22 Over the past 2 years our business has not only recovered from the pandemic, but we've significantly scaled, with our gross booking value reaching $1.9 billion in full-year 2021, up 105% year-over-year and tripling from 2019 levels. We also have a truly asset-light business model in which our full-service offering gains us exclusive control of the home calendar. We don't need to spend hundreds of millions of dollars to buy supply or enter into long-term lease agreements and advance deposits on future reservations creates a favorable working capital dynamics. 13:59 Our underlying business has shown to be inherently profitable, as we continue to make discrete, controlled investments in 2 areas, sales and marketing and technology and development. We spent over $225 million, excluding equity-based compensation on these 2 line items in 2021. The size of this investment compared to our reported adjusted EBITDA loss of negative $29 million clearly shows that profitability is a choice for us. 14:28 Our investments in sales and marketing are largely focused on expanding the teams responsible for adding new homes to our platform. We have a massive market opportunity ahead of us and believe it is prudent to invest aggressively against that opportunity. We apply a lifetime value to the customer acquisition cost framework to evaluate the success of the individual approach, where we typically achieve a very healthy LTV to CAC between 4 times to 5 times and we were at the high end of that range for 2021. 14:57 Within technology and development, we are aggressively hiring product managers and engineers and adding external software to further enhance our technology platform. As Matt touched on in his remarks, our purpose-built technology platform drives our business operations, creates a differentiated experience for our homeowners and guests, allows us to scale more efficiently and supports our strong growth. 15:22 These investments enable us to reach scale faster, which not only drives revenue growth, but improves profitability, as our margins improve meaningfully with density. Our profit margins are greater in high-density markets relative to low-density markets, driven by fixed cost leverage, shorter drive time, and labor savings. Additionally, our operating leverage is also evident during our seasonally stronger quarters. 15:48 Now, I'd like to review the fourth quarter. Unless noted otherwise, I will be comparing our fourth quarter results to the fourth quarter of 2020, and I'll be referencing the operating expense line excluding the impact of stock-based compensation and business combination costs, which you can find in both our press release and shareholder letter. 16:07 Nights sold reached $1.1 million in the fourth quarter, up 55% year-over-year, with the increase primarily driven by the addition of new properties to the platform. Gross booking value per night sold, which includes the total rent, fees, and taxes a guest pays was $347 in the fourth quarter, up 27% year-over-year. Year-over-year growth in gross booking value per night sold accelerated each quarter throughout the year. 16:35 While the overall vacation industry did experience strength, our sophisticated machine learning algorithms ensure we appropriately capitalize on the strength, optimizing the mix of nights sold and gross booking value per night sold in an attempt to maximize homeowner income. 16:51 Gross booking value, which is the combination of nights sold and gross booking value per night sold reached $379 million in the fourth quarter, up 96% year-over-year. Revenue, which consists primarily of our commission on the rents we generate for homeowners and the fees we collect from guest’s was $192 million in the fourth quarter, up 76% year-over-year and ahead of our guidance range of $175 million to $180 million. 17:20 Cost of revenue was 56% of revenue in the fourth quarter. The year-over-year operating leverage is due to the strong growth in gross booking value per night sold. Operations and support expenses grew about in line revenue year-over-year. Technology and development expenses were up over 100% year-over-year, as we successfully grew the size of our engineering and product teams and added tools to strengthen our technology platform, and in turn, our value proposition to homeowners and guests. 17:49 Sales and marketing expenses were $66 million, up $49 million year-over-year, with the increase primarily due to our brand advertising campaign, scaled homeowner direct marketing, and higher sales force headcount. General and administrative expenses were $19 million in the fourth quarter, with the year-over-year increase due to hiring to support our growing business. 18:10 Adjusted EBITDA was negative $68 million for the fourth quarter, ahead of our guidance range of negative $85 million to negative $80 million, on stronger revenue and expenses coming in at the lower end of our internal expectations. 18:25 Turning to 2022 guidance, we expect revenue to be in the range of $245 million to $255 million for the first quarter and $1.125 billion to $1.175 billion for the full-year. Our guidance assumes that the combination of gross booking value per night sold and occupancy takes a slight step back from the record levels achieved in 2021, but remains above pre-pandemic levels. Specifically, we expect this to be most pronounced in the second half of 2022, as we lap a period of strong consumer demand, which resulted in gross booking value per night sold growth of 19% year-over-year in the third quarter of 2021 and 27% year-over-year growth in the fourth quarter. 19:09 We expect adjusted EBITDA to be in the range of negative $25 million to negative $20 million for the first quarter and negative $21 million to negative $14 million for the full year. On the expense side, we expect to continue to invest in sales and marketing and technology and development. I would note that we don't plan on running another large-scale brand advertising campaign in the first quarter of 2022, and as a result, expect sales and marketing expenses to decline sequentially from the fourth quarter of 2021. 19:40 Finally, given the strong execution by our teams and the success of our growth investments, we expect to reach adjusted EBITDA profitability for the full-year 2023. 19:52 One final comment on guidance. We expect to recognize about $13 million of revenue in the first quarter associated with the breakage of future stay we issued to guests at the start of the pandemic. The revenue benefit will also flow through to adjusted EBITDA. While we will recognize revenue associated with the breakage of future stay credit in future period, we expect the amount to be significantly lower in future periods. So we wanted to call out given the size in the first quarter. These impacts are included in our revenue and adjusted EBITDA. 20:24 With that, Matt and I will take your questions. Operator, please open up the line.
Operator: 20:31 Thank you. [Operator Instructions] First question comes from Doug Anmuth with JP Morgan. Please proceed.
Doug Anmuth: 21:03 [Technical Difficulty] taking the question. I had a couple. I hope you could talk about the sales force. I know, you said you added 200 heads last year, if you could give some color on where you think this could go over time? And then when you think about the ‘22 growth, how much of that is driven by new supply additions? And I also just wanted to ask about your thoughts on the -- early thoughts on the summer travel season? And do you expect VR to continue to take share in the face of greater reopening and potential return to more urban destinations? Thanks.
Matt Roberts: 21:42 Sure. Hi, it's Matt. I'll take the sales team. So we did add a lot of sales people during this year, we were down in 2020 though, as you remember. So part of it was sort of rebuilding and growing our sales team while have a lot of really positive momentum adding great new people. I would say we're probably going to get about – add about half the amount that we added in ‘21 in ‘22 and then we'll also have further improvements in the productivity, the tenured sales reps are about twice as productive as un-tenured. So we're going to get a nice lift as our new sales reps gain tenure. And then, Jamie you want to talk to a sort of growth.
Jamie Cohen: 22:35 Yeah, absolutely. So, as Matt said, there will be -- there will be a lot of great growth in terms of new sales coming from the reps that we added last year. If you call, the rest -- at least 12 months of tenure are about twice as productive as those with less than 12 months. So we'll continue to see productivity gains over the course of 2022 from the reps that we added in 2021. 23:02 And then, general rule as we tend to see about 85% of our revenue coming from units that are already on the platform prior to the year beginning. So it’s a pretty decent rule of thumb in terms of current supply versus new supply [Technical Difficulty added. 23:18 And then in terms of your question around bookings, we're seeing some really great strength as we enter our peak season in the second and third quarter, that's a big driver of the strong revenue guidance that we've issued for the first quarter as well as the full year. So taking that into account, on both a nominal and a per home basis we are pacing ahead of 2019 bookings. So pleased with what we're seeing thus far and we think that we will continue to see strength in demand as we go through the year.
Doug Anmuth: 23:54 Great. Thank you both.
Matt Roberts: 23:57 Thank you.
Operator: 24:01 Thank you, Doug. [Operator Instructions] The next question comes from Eric Sheridan with Goldman Sachs. Please proceed.
Eric Sheridan: 24:13 Thanks so much for taking the question. I'll try to ask one in two parts and see if I can thread the needle. In terms of following up on Doug, maybe just thinking about the demand trends you're seeing exiting ‘21 and going into ‘22. Can you parse out for us how we should be thinking about price as a determinant of growth on a per unit basis or a per room night basis looking out to ’22? 24:37 And the second part would be, given the demand you're seeing, would you expect to see more than normal seasonality as we move through ‘22 or should we think about the beginning of the year and think about normal seasonal trends going forward through 2022? Thanks so much.
Jamie Cohen: 24:55 Yeah. Eric, this is Jamie. I think I’ll take both of those. So in terms of pricing, we've had a great Q4, we had a really strong Q1 thus far and you saw our guide, the midpoint of 30% year-over-year growth for and full year. For gross booking value per night sold and occupancy, we said that the combination of those 2 will take a slight setback in the second half of the year and we're comping over record setting levels from 2021. 25:28 We saw the gross booking value per night in particular was up 19% in the third quarter and up 27% in the fourth quarter. So when we're putting out guidance we're not setting it at these record high levels, we may very well end up there, but being a bit more conservative there. We will end -- we still expect these metrics to be above pre-pandemic levels though. 25:54 And then in terms of your question around seasonality, I think there is kind of rule of thumb seasonality that we've talked about in the business before and what we've seen historically is still accurate. I don't think that we're expecting more pronounced seasonality at this point. We continue to see strength coming out of the peak into the fourth quarter and into the first quarter, so I'd say that seasonality looks pretty normal.
Eric Sheridan: 26:21 Thanks so much.
Operator: 26:26 Thank you, Eric. The next question comes from Andrew Boone with JMP Securities. Please proceed.
Andrew Boone: 26:35 Hi guys, thanks for taking my question. On gross margins we saw 700 basis points of expansion on a year-over-year basis and understood you guys made investments in terms of supporting markets kind of during the shoulder season. Can you talk about that improvement and help break it down in terms of tech versus just for the density improvements? Thanks so much.
Jamie Cohen: 26:59 Yeah, Andrew. so the gross margin expansion, I'd say, primary driver is the gross booking value per night sold increases that we saw throughout the year, particularly in the second half, which gives us nice leverage and that flows through, because there is an additional -- there is no additional cost to service our reservation. 27:19 In terms of quantifying tech versus density, I'd say in the past year more on the density side and as we continue to add homes to the platform we continue to see that density and you know that we see a big difference in profit margin for high density versus low density market. So continuing to see that improvement. 27:41 From a tech perspective, I think we announced some really exciting things that we're rolling out right now, the clean inspection tool in particular, which we believe it’s not only showing to drive better clean scores and then therefore guest satisfaction. So we also believe that this gives us the ability to not have to send out as much human labor to do manual inspections in the home, so that is something that as we look forward into the future will help to create efficiencies along with the Smart Home rollout that we also talked about.
Andrew Boone: 28:19 Thank you.
Operator: 28:23 Thank you, Andrew. The next question comes from Jed Kelly with Oppenheimer. Please proceed.
Jed Kelly: 28:30 Great. Thanks for taking our questions. You mentioned in the fourth quarter you added 2.5 times more homes in the fourth quarter versus 1Q, how much of that was based on the portfolio approach? And can you give us a sense on the portfolio pipeline for this year? And then you mentioned your brand marketing campaign in 4Q, how did that perform for your direct traffic? And is it underperformed or over performed and how should we view your direct traffic for ’22? Thank you.
Matt Roberts: 29:04 Sure. Hey, Jed, it's Matt. I'll take this. So as far as the fourth quarter, a lot of the strength in the fourth quarter was really driven by our individual side, because we were adding sales people throughout the year and also the productivity is improving throughout the year. So we had really great strong quarter from an individual side, we don't split out the individual versus portfolio in any given quarter, suffices to say that individual continue to have strong momentum and it still is the vast majority of our new additions that come from an individual. 29:44 A general kind of commentary on portfolio, it's still remains a really attractive opportunity for us to add dozens of homes in any given new market, so it's a great new market entry. And as we talked about before, we are just building density in a market which expanded our contribution margins as well. So nothing sort of specific about the pipeline on the portfolio, other than there is 4,400 property managers that represent over 350,000 homes. So there is a huge amount of companies that are still available to talk to and that could be good fits for joining Vacasa and we run pretty much the same sort of sales funnel approach on the portfolio side. It's a different type of sale as we do on the individual side. 30:40 And then the last thing you, the question is sort of on our direct traffic?
Jed Kelly: 30:46 Yeah, your direct traffic based on that.
Matt Roberts: 30:49 And specifically, the brand campaign. So the omnichannel campaign that we launched in the fourth quarter was an opportunity for us to invest some of the over-performance that we had done during 2021. Really the objective was just to learn and I think from that perspective it’s a big success. I mean there is some things that we learned about that campaign that we thought we can refine, do better on next time and there are some things that worked quite well that we will that will look to continue going forward. 31:22 But the main objective of that campaign was not to think that we would come out of that test with a new vehicle that was going to be like the centerpiece of how we add properties. There is still a Direct Response Program, we still -- all of our forecast, all of our guidance is continuing to be based on that direct response marketing campaigns that we've been running historically. But we've learned a lot on the test and I think we'll look to refine and come up with some new programs, probably in the back half of the year that takes advantage of that learning.
Jamie Cohen: Hi, Jed, it’s Jamie. Just to jump in quickly. The 2.5 times in Q4 versus Q1 is actually just an individual approach. So we just wanted to give you a stat there was on the individual [Technical Difficulty] and how much we are able to scale the sales force and show often great results their. So just to clarify.
Jed Kelly: 32:28 All right, thanks.
Matt Roberts: 32:31 Thank you.
Operator: 32:32 Thank you. Jed. The next question comes from Bernie McTernan with Needham & Company. Please proceed.
Bernie McTernan: 32:39 Great. Thank you for taking the question. I just want to zoom in on the capture rate that came in lower than we expected in the fourth quarter. I think it's driven by the higher ADRs , but anything else impacting that rate? And then is up still the best way to think about 2022?
Matt Roberts: 33:00 In capture rate. You're defining capture rate as our revenue over the gross booking value.
Bernie McTernan: 33:07 Exactly. Yes
Matt Roberts: 33:08 So there is a few elements that go into that calculation. I mean one of it's not necessarily just the sort of commission rate which would be one of the more dominant ones, but we do have some revenue that doesn't appear in GDV, such as real estate, they don't -- it doesn't grow that other revenue line doesn't grow in concert with the homes and on our platform or GDV. And then there are a few things that will impact, like the commission rates that we will charge. 33:37 We set our commission rates at a local geography basis and also sort of by potential income at homeowner basis as well. So there'll be some mix shifts that go along with that, nothing new there, that's exactly how we've been doing it overtime, but you'll have some mix shifts there as well. And then finally, we had a little bit of a mix shift in where turnkey was at a slightly lower commission rate than historical Vacasa as well. That those things are the ones that sort of contribute to a difference in the take rate versus -- on a year-over-year basis and then maybe a little bit what your model, but there isn't anything new that we're doing relative to commission rates, in particular, that would influence our take rate, either positively or negatively going forward.
Bernie McTernan: 34:33 Got it. Thanks, Matt.
Matt Roberts: 34:35 Sure.
Operator: 34:38 Thank you, Bernie. The next question comes from Mike Grondahl with Northland Securities. Please proceed.
Mike Grondahl: 34:45 Hi. Yes, thanks guys and congratulations on the quarter. Any update on the competitive landscape or just kind of what you're seeing out there?
Matt Roberts: Yeah. I think the position that we have established as being the leader and having all the advantages that go along with the scale that we have continued to just pay dividends, right? I mean, we're able to, I think I mentioned that we spent $50 million on our tech and dev and I really think that's more than the entire local competitive landscape combined that would be able to spend towards technology and all that technology helps our homeowners make more money, which helps us sell the value proposition and then add properties to our platform. 35:36 So, there is no – the short answer is, no, we're not really seeing any increase in competitive pressure as we go out and sell in the market. And our velocity of sales has accelerated, as Jamey pointed out, even just in the fourth quarter and we'll continue to build that supply growth engine, both in the individual side and the portfolio side.
Mike Grondahl: 36:00 Thank you.
Matt Roberts: 36:02 Sure.
Operator: 36:04 Thank you, Mike. The next question comes from Justin Patterson with KeyBanc. Please proceed.
Justin Patterson: 36:11 Great. Thank you very much. Matt, how should we think about 2022 in terms of product innovation versus 2021? It looked like you had a lot of great rollouts over the course of the year. And then, Jamie, you alluded to it a bit I think in Andrew's answer earlier, but I would love to hear about how you think of those investments and benefiting KPIs throughout the year? Thank you.
Matt Roberts: 36:35 Well, I'm really excited about the current year, Justin. I think from a product and innovation perspective, those are just the things that we highlighted to you in terms of 2021 that there is a ton more that we just didn't make that top list to share with you. I'm really particularly excited about some of the things that we're able to do on the efficiency -- operations efficiency side that we will be rolling out this year. Some things that will be really supportive of our individual sales channel with, for example, rolling out salesforce across the business and then the proprietary all the tie-ins that we have to our vacation rental management system, which is our proprietary system. And if you give us a ton of leverage there too, and we're adding to the team. Mike, we're growing the team is what we said we would be doing. 37:32 We're being really successful at doing that, which is no easy feat in this competitive market for tech talent. So I feel really good about the pace of innovation that we're operating at now. I mean, I'm a CEO, so I’m in patience, but at the same time I think the team is doing a fantastic job putting new stepping into our customers' hands.
Jamie Cohen: 38:00 And then Justin, in terms of your question around KPI, specifically, I think that all of these investments that we're making in technology will continue to help us gradually towards our longer-term margin target. And these specifically over -- cost of revenue for the clean inspection tool and then also our operations and support line item kind of at a higher level just thinking about margin leverage, there is kind of a two big factors: one, density, and as we continue to add units we will continue to see markets getting more done and you'll see market increasing in contribution margin driven by our fixed cost leverage reducing driving distances and labor savings, and then you'll also just finish you fixed cost leverage, as well as over finance, G&A and then we're continuing to invest in sales and marketing and tech and dev in the short term, but longer-term, that's where you'll see that come up. 39:01 And so I think on the tech side specifically though, you'll see those reflected largely of our local labor.
Justin Patterson: 39:10 Great, thank you.
Matt Roberts: 39:12 Thanks, Justin.
Operator: 39:14 Thank you, Justin. That concludes the Q&A session. I would like to pass the conference back to Matt Roberts for closing remarks.
Matt Roberts: 39:24 Well, I just want to thank everybody for joining our call today. As you can see, we're really proud of the progress that we made in ‘21 and very excited about what we're already starting to do in ‘22 and we will have on the horizon. Here I definitely want to thank our team members across the country, because without all their dedication and hard work every day none of it would work. And in particular, I'd like to really thank our homeowners for trusting us with their asset into making them the most income possible from their homes. So I look forward to keeping everybody up to date on our progress as we move through 2022. And again, thanks for taking the time to join us.
Operator: 40:14 That concludes the Vacasa fourth quarter 2021 earnings Call. Thank you for your participation, you may now disconnect your line.